Operator: Good day, and welcome to the CRH plc Second Quarter 2024 Results Presentation. My name is Rob, and I will be your operator today. [Operator Instructions] At this time, I'd like to turn the conference over to Albert Manifold, CRH Chief Executive, to begin the conference. Please go ahead, sir.
Albert Manifold: Good morning, everyone. Albert Manifold here, CRH Group Chief Executive, and you're all very welcome to our quarter 2, 2024 results presentation and conference call. Joining me on the call is Jim Mintern, our Group CFO, Randy Lake, Chief Operating Officer; and Tom Holmes, Head of Investor Relations. Now before we get started, I'll hand over to Tom for some brief opening remarks.
Tom Holmes: Thanks, Albert. Hello, everyone. Before we begin today's proceedings, I'd like to draw your attention to Slide 1 shown here on screen. During today's presentation, we'll be making some forward-looking statements relating to our future plans and expectations. These are subject to certain risks and uncertainties, and actual results and outcomes could differ materially due to the factors outlined on this slide. For more details, please refer to this slide, our annual report and other SEC filings, which are available on our website. I'll now hand you back to Albert, Jim and Randy, to deliver some prepared remarks.
Albert Manifold: Thanks, Tom. Over the next 25 minutes or so, we'll take you through a brief presentation of the results we published this morning, highlighting the key drivers of our operational performance for the second quarter of the year, our recent capital allocation and portfolio activities as well as providing you with an update on our expectations for the remainder of the year. We'll also spend some time discussing our strong track record of financial delivery, and how we have strategically positioned our business to deliver further growth and value creation going forward. Afterwards, we should be available to take any questions that you may have. And all told, we should be done in about 45 minutes or so. So at the outset, on Slide 3, let me take you through some of the key messages from this morning's announcement. Our differentiated strategy continues to deliver industry-leading performance. For the second quarter of the year, I'm pleased to report further growth in adjusted EBITDA and margin compared to the prior year period. This was supported by positive pricing momentum and our relentless focus on cost management, all delivered against the backdrop of some significant weather disruption. Our performance also demonstrates how our carefully constructed portfolio, combined with the unmatched size and scale of our operating footprint, helps to mitigate the impact of adverse weather events in specific regions, resulting in less volatility and more consistent performance through the cycle. Looking ahead to the remainder of the year, well, the outlook for our business is positive, supported by favorable underlying demand across our key markets. Based on current trading conditions and the momentum we see across our businesses, I'm pleased to report that we are raising our guidance. Assuming normal seasonal weather patterns and no major dislocations in the macroeconomic environment, we now expect full year group adjusted EBITDA to be between $6.82 billion and $7.02 billion, representing another strong year of delivery for CRH. We've been very active on the acquisition front. Year-to-date, we've invested $3.7 billion on 20 acquisitions, increasing our exposure to attractive high-growth markets and further developing our solutions capabilities in materials, road and utility infrastructure and outdoor living. In July, we completed our acquisition of the majority stake in Adbri, a leading provider of building materials in Australia. This represents an attractive new growth platform to expand our solution strategy and enhance our existing operations in Australia, a market where we've been operating for over 15 years. I'm also pleased to report that the integration of our $2.1 billion acquisition of materials assets in Texas is progressing well, and we have increased our run rate synergy target to approximately $65 million. The strength of our balance sheet also enables us to continue to return significant amounts of cash to our shareholders. Our ongoing share buyback program has returned approximately $900 million so far this year. And today, we are announcing a further quarterly tranche of $300 million, representing an annual run rate of approximately $1.2 billion. In line with our strong financial position and policy of consistent long-term dividend growth, the Board also declared a new quarterly dividend of $0.35 per share, representing an annualized increase of 5%. So it's been a busy year so far. And all of this demonstrates our focus on the efficient allocation and reallocation of capital to maximize value for our shareholders. Turning to Slide 4 and our financial highlights for the second quarter of the year. Overall, a good performance with adjusted EBITDA, margin and earnings per share all well ahead of the prior year period, notwithstanding the impact of adverse weather on activity levels during the quarter, we delivered adjusted EBITDA of $2.3 billion, 12% ahead, supported by strong organic growth as well as good contributions from acquisitions. And against the backdrop of some inflationary cost pressures, I'm also pleased to report further margin expansion, 270 basis points ahead of the prior year. All of this translates into good growth in our earnings per share, up 16% on the prior year period. Now at this point, I'll hand you over to Randy to take you through the operating performance of each of our businesses.
Randy Lake: Thanks, Albert. Hello, everyone. Turning to Slide 6 and beginning with Americas Materials Solutions, which delivered a strong Q2 performance. Total revenue and adjusted EBITDA were 6% and 28% ahead of prior year, respectively, despite contending with some challenging weather conditions, which impacted our operations in the South and Midwest regions of the United States, in particular. Notwithstanding unfavorable weather, the underlying demand backdrop across our key markets remains favorable. Infrastructure is our largest end market in North America where demand is underpinned by the significant increase in U.S. federal funding through the IIJA as well as positive momentum in transportation funding initiatives at the state level. We also continue to see good mega project activity supported by both public and private investment. In terms of the input cost environment against the backdrop of continuing inflation in raw materials, labor and subcontractor costs, I'm pleased to see good commercial discipline from our teams on the ground, with positive pricing momentum across all product lines during the second quarter of the year. In Essential Materials, second quarter revenues were 5% ahead, supported by pricing growth in aggregates and cement of 12% and 8%. In Road Solutions, Q2 revenues increased by 6%, driven by improved pricing in asphalt and readymixed concrete. And together with strong cost control, operational efficiencies and the impact of a gain on certain land asset sales, this enabled us to deliver 460 basis points of margin expansion compared to the prior year period. As Albert mentioned earlier, good to see the integration of the materials assets we recently acquired in Texas progressing well, and we've already identified an additional $5 million of synergies, which increases our total run rate synergy target to $65 million. I'm also pleased to report that as we look ahead for the remainder of the year, there's good momentum in our backlogs ahead of prior year in both revenue and margin. Next to Americas Building Solutions on Slide 7 and here our business delivered a resilient performance, supported by disciplined pricing and good contribution from acquisitions. Notwithstanding the impact of subdued new-build residential demand and challenging weather conditions, second quarter revenues for our Building & Infrastructure Solutions business were in line with prior year, supported by significant IIJA funding for critical utility infrastructure. Our Outdoor Living Solutions business also continues to perform well, benefiting from its large exposure to more resilient repair and remodel activity. For Americas Building Solutions overall, I'm pleased to report that against a 1% decline in second quarter revenue, we've been able to maintain our adjusted EBITDA at prior year levels and improve our margins by a further 40 basis points. Moving to Europe on Slide 8, and first, the performance of Europe Materials Solutions, where good growth in Central and Eastern Europe was offset by weather-impacted activity levels in Western Europe. While residential demand remains subdued, infrastructure and nonresidential demand continues to be underpinned by government and EU funding programs. And we're now in our seventh consecutive year of positive pricing momentum in Europe with cement pricing ahead across all major markets. And I'm pleased also to see further improvement in our margin, 110 basis points ahead of prior year reflecting good commercial management and strong cost control across our businesses. Our second quarter results also reflect the impact of Phases 1 and 2 of the European Lime divestiture. The final phase, consisting of our lime operations in Poland is expected to complete in the second half of the year. Next to the performance of Europe Building Solutions on Slide 9, our smallest segment, representing less than 5% of group adjusted EBITDA in 2023 and much more exposed to residential new build construction than the rest of our businesses. Overall, a challenging backdrop with activity levels impacted by subdued residential demand. Here, we continue to focus on disciplined commercial management and cost-saving initiatives to protect our profitability. And I'm pleased to report that we're beginning to see some improving trends with the benefit of self-help measures starting to come through. And so at this point, I'll hand you over to Jim to take you through our financial performance in further detail.
Jim Mintern: Thanks, Randy, and hello, everyone. Turning to Slide 11, which sets out the key components of our second quarter adjusted EBITDA performance. Starting with organic growth of $222 million, 11% ahead on a like-for-like basis, reflecting good underlying demand across our key markets, further pricing progress and the continued benefits of our differentiated strategy. Acquisitions net of divestitures delivered a further $15 million of adjusted EBITDA, primarily reflecting the contribution from our acquisitions of material assets in Texas and the impact of the divestiture of Phases 1 and 2 of the European Lime operations. Overall, we delivered approximately $2.3 billion of adjusted EBITDA, 12% ahead of the prior year period. Turning next to Slide 12, where I will take you through some of the key components of our net debt movements and our strong and flexible balance sheet. Firstly, on the left-hand side, you can see we ended 2023 with a net debt position of $5.4 billion. Turning to our cash flow performance. We reported a net cash inflow of approximately $800 million in the first half of the year. Acquisitions net of divestitures and other items resulted in an outflow of approximately $2.6 billion, while we also invested $1.1 billion in capital expenditure to support further growth in our existing business. In addition, we returned $2 billion in the form of dividends and share buybacks, demonstrating our commitment to returning cash to our shareholders. Taking all of this into account results in a net debt position of $10.3 billion at the end of June, representing a net debt to adjusted EBITDA ratio of approximately 1.6x on a trailing 12-month basis.
Albert Manifold: Thanks, Jim. Now at this point, I'd like to take a step back and provide some context in relation to the consistency of our financial performance over time. Turning to Slide 14. And as you can see, CRH has delivered consistent profitable growth over the last decade. In addition to growing our top line, we've delivered strong growth in adjusted EBITDA and earnings per share, equivalent to compound annual growth of 15% and 19%, respectively. You can also see that we've significantly increased the level of cash we're generating, reflecting our relentless focus on cash conversion. All of this translates into a compound annual total shareholder return of 16% over the last decade, a performance that highlights CRH as the reference compounder of capital in our industry. On Slide 15, you can see that on a relative basis, we've also delivered superior performance against some of the best operators in our industry. Over the last 5 years, we have delivered compound annual profit growth of 12%. We've consistently converted over 80% of our profits into cash, and we've generated an annual total shareholder return of 24%. So the message is clear, our business is delivering superior performance for our shareholders. Now let me briefly take you through some of the key drivers behind this performance. We've built leading positions in attractive high-growth markets, regions such as the South and West of the United States and Central and Eastern Europe, which have significant construction leads as a result of population growth and migration trends. Our strategy is enabling us to differentiate ourselves from the rest of the industry, having transitioned away from being a sole supplier of base materials to a provider of integrated and value-added materials, products and services, bespoke solutions that serve the increasingly complex needs of our customers and generate higher growth and value for our shareholders. Our unique portfolio of businesses also provides us with attractive opportunities for future growth, both organically and through acquisition. This portfolio also provides us opportunities to expand and enhance our offering to customers, thereby opening up new markets and avenues of growth that wouldn't otherwise be available to us. We have delivered 10 consecutive years of margin expansion, supported by our focus on continuous business improvement and the strategic reshaping and repositioning of our business through active portfolio management. Our business has generated $21 billion of cash over the last 5 years, representing approximately 80% conversion of adjusted EBITDA and providing significant optionality for future growth and value creation. In this regard, we have a proven track record, supported by our disciplined approach to capital allocation for both short-term performance and long-term value. Moving to Slide 16. And as we say here today, fundamentally, our business is in a good place. We are the largest building materials business in the U.S. and Europe, the 2 most attractive construction markets in the world. Through our agility, our focus on innovation and our positioning across the construction value chain, we believe we are uniquely positioned to deliver further growth and value creation going forward. We are the largest beneficiary of a golden age of U.S. construction, supported by significant federal investment as well as a renewed drive for the onshoring of manufacturing activity. This will clearly support future organic growth, but that's not the only source of growth in CRH. Our investments in M&A have historically driven 2/3 of our growth, and we have a strong pipeline of opportunities in front of us. Taking both together, this has enabled us to consistently deliver double-digit earnings growth through the cycle. Our core philosophy of continuous business improvement and being best-in-class operators is deeply embedded in the DNA of our business. Through operational excellence initiatives and best practice programs, we are focused on improving profits, margins, returns and cash year after year. We have a strong and experienced leadership team who are relentlessly focused on continually improving our businesses. Through the active management of our portfolio in recent years, we have built a structurally better business, a simpler, leaner and more focused business that is less cyclical and less capital intensive, improving our performance and becoming a leader in sustainable construction. The disciplined allocation of capital has been a hallmark of CRH for many years and has helped us to deliver one of the strongest balance sheets in our history, providing us with very significant optionality for the future. Now at this point, I'm going to hand over to Jim to take you through our capital allocation priorities going forward.
Jim Mintern: Thanks, Albert. Turning now to Slide 17. When we look at the strength of our business today, our growth profile, the level of cash we are generating and the strength of our balance sheet, we believe that we will have at our disposal financial capacity in the order of $35 billion over the next 5 years. And here, we have set out some of the opportunities we see to allocate that capital over that time frame. First and foremost, we are a growth company. We want to continue to grow our business for the benefit of our shareholders, and we have a strong and active pipeline of acquisition opportunities. Our industry is still very fragmented, and our integrated strategy provides us with multiple avenues for further growth. We also have a strong pipeline of expansionary CapEx opportunities to accelerate organic growth in our existing business, expanding capacity in markets where we see attractive future growth prospects. These are high-returning, low-risk investments, which we believe will deliver significant value in the years ahead. Of course, we will remain disciplined and value-focused, applying strict performance and returns criteria to every investment we make. Overall, we expect to have the capacity to allocate up to $24 billion or approximately 70% towards acquisitions and growth CapEx, investments to support future growth and value creation for years to come. We also expect to have the capacity to return significant amounts of cash to shareholders. We have a proud track record of consistent long-term dividend growth, and our current dividend run rate returns approximately $1 billion on an annualized basis. We also view share buybacks as an efficient means of returning cash to shareholders. Since 2018, our share buyback program has returned approximately $8 billion of cash to shareholders and is currently running at an annualized rate of approximately $1.2 billion. So overall, as you can see, significant opportunities going forward, and I can assure you that we will remain disciplined and value-focused when it comes to the allocation of that capital.
Albert Manifold: Thanks, Jim. Now before I provide an update on our expectations for the full year, let me share our thoughts on the outlook across our markets. Turning to Slide 19, North America represents approximately 75% of our adjusted EBITDA, with the remaining 25% in Europe. First, to infrastructure, which represents the largest exposure for our businesses. Here, the outlook is robust, with demand in the United States underpinned by the continued rollout of a once-in-a-generation federal and state investment program. Similarly in Europe, we expect robust demand in infrastructure activity to continue, supported by significant investment from the government and EU funding programs. In nonresidential, we expect our key segments to continue to benefit from increased reindustrialization and onshoring activity in both the United States and Europe. In the residential segment, we expect new-build activity in the U.S. and Europe to remain subdued due to affordability challenges caused by the current interest rate environment. As we said previously, this is not a demand issue, and we believe the long-term fundamentals for residential construction remain very attractive in these markets, supported by favorable demographics and significant levels of underbuilds. So in summary, the overall trend is positive for our business, supported by robust demand in infrastructure and key nonresidential segments, while new build residential construction is expected to remain subdued. Regarding the pricing environment, we expect positive momentum to continue across our markets, supported by disciplined commercial management as well as the benefits of our integrated and value-focused solution strategy. Turning to Slide 20, and against that backdrop reflecting the positive momentum we see across our businesses as well as the impact of recent portfolio activity, this morning, we're pleased to raise our financial guidance for 2024. Assuming normal weather patterns for the remainder of the year and no major dislocations in the macroeconomic environment, we now expect full year group adjusted EBITDA to be between $6.82 billion and $7.02 billion, net income to be between $3.7 billion and $3.85 billion and earnings per share to be between $5.40 and $5.60, representing another strong year of delivery for CRH. So that concludes our presentation this morning, and we're now happy to take your questions. I'll now hand you back to the moderator to coordinate the Q&A session of our call.
Operator: [Operator Instructions] And we'll take our first question from Trey Grooms of Stephens.
Trey Grooms: Nice work in a really tough operating environment. I guess, first off, could you guys maybe talk about some of the puts and takes on the updated guidance and maybe how much of the increase is organic versus inorganic?
Albert Manifold: Let me start there. Look, obviously, just a strong performance this year and our integrated solutions strategy really delivering for us in what has been a tough quarter for the industry. But maybe, Jim, you might just take us through what the input -- the puts and takes, as Trey says, for the first half and indeed the change guidance for the full year.
Jim Mintern: Yes. Trey, firstly, good underlying momentum really is driving the full year guidance and it implies an organic EBITDA growth of about 10% at that midpoint level. And just maybe for a bit more clarity and detail. In that new EBITDA guidance, it also includes $70 million for Adbri, taking our total full year contributions from acquisitions net of divestments of about $150 million. And maybe as well, just to say at the new net income guidance level, it includes $100 million of Adbri, and the difference being the inclusion of the contributions from the joint ventures from Adbri.
Trey Grooms: Got it. Got it. Okay. That's super helpful. And I guess my follow-up on that is, clearly, strong performance on U.S. pricing and your volume has held up well given the really tough backdrop we saw in the quarter. Any additional color that you could give us on your pricing and volume outlook for U.S. aggregates and U.S. cement?
Albert Manifold: Thanks, Trey. Maybe, Randy, might help us there. And actually, as we're talking about the U.S., obviously, we've got our European business, well, Jimmy, you might just take us through some of the European volumes and pricing as well?
Randy Lake: Yes. So pricing for Q4 in ag was up 12% and cement up 8%. And that's really supported by really our outlook and the backlog that we have. So we have good momentum moving forward there. I think our opportunities as we move into the second half of the year is, there is potential for some midyear price increases in targeted markets. And I'd say broadly, what we're anticipating, again, based on that backlog is that volumes for both cement and ag will be broadly flat with last year.
Jim Mintern: Yes. From a European perspective, Trey, what we saw was really similar to the U.S., positive pricing momentum continuing, actually our seventh consecutive year of price increases in Europe at this stage. The quarter 2 cement price was slightly ahead year-on-year. But actually, when you look at it on a mix adjusted basis, it was much closer to mid-single digits. I think what’s really encouraging is that we continue to drive margin expansion across the entire European business in Q2.
Operator: Your next question comes from the line of Kathryn Thompson from Thompson Research Group.
Kathryn Thompson: Just first focusing on Q2, could you give a little bit more color on performance drivers, in particular, on your margin expansion puts and takes, and how we should think about that going forward?
Randy Lake: Yes. Thanks, Kathryn, Randy here. Well, when we look at Q2, and I think if you look at the full year, and actually, we've been on a journey here for 10 years, kind of the reshaping of the business model to be much more integrated, and I'd say, much more proactive on the front with customers to provide kind of full solutions in the markets -- the end markets that we serve, infrastructure, nonres and res probably more on the RMI side. We're not immune to weather. So weather certainly impacted a bit of our ability to execute. But I think it just speaks to the underlying value of the model that even in those difficult times able to deliver higher sales, better profits, more cash, solid returns for the benefit of our shareholders, one, but that model of early engagement with our key customers and DOTs being a large key customer is really important. So the ability for us to engage early on the design, engineering, the technical side, all the way through the manufacturer, the installation and actually the maintenance of these projects are important. If you think about the end customers, especially in roads or infrastructure, there's a direct correlation in the customer base between our Road Solutions business and our critical utility infrastructure. Every road needs to deal with water. We have the capabilities of doing that. And so for our customers, 1 point of contact to be able to design, engineer and execute is critically important. So I think that's what's coming through in terms of underlying delivery on the margin side. And we're optimistic as we look forward because the backlogs for us, both in revenue and margins are up for the full year. We have pretty much a 6- to 9-month window in terms of our outlook. So I think we draw a lot of confidence from that. What we're seeing though as well is that the combination of federal and state money has led to, I'll call them, larger projects, maybe more complex projects, higher in specification and performance criteria, and they're multiyear. And I think that plays to our strength to drive that early engagement, leverage some of those soft skills we have and then to be able to deliver in a timely manner. And so the focus on roads, water, energy, telecoms, all those coming through both in performance and also our outlook for the balance of the year.
Jim Mintern: Kathryn, maybe just to add on -- you asked specifically on the margin. Jim here, just to say, yes, Americas Materials Solutions very strong, up 460 basis points in the quarter. That did include a land sale of about $80 million. And when you strip that out, that land sale, it's still a very strong 300 basis points increase on the Americas Solutions in the quarter 2. Now that kind of land sales for us would be not -- it would be very typical for us on an annual basis. But as you know, they can be lumpy and difficult to predict where and when they arise, but nothing unusual from an annual basis, but it's in those Q2 numbers for Americas Materials Solutions.
Kathryn Thompson: Okay. Great. And then just as a follow-up, could you give us a little bit more color on some of the acquisitions that you made in Q2, both in the U.S. and Europe on the material side?
Randy Lake: Yes. When you look in the U.S., Kathryn, a couple of call-outs on the material side or first entry into Northern California with the BoDean acquisition. I'd say that's a very typical deal for CRH kind of planting a flag in a high-growth market. Actually, it's our first entrance in the materials into California. We've been in California for quite some time on the product side. But what's nice about that opportunity is the significant reserves that are associated with that deal and then the integrated nature kind of the downstream consumption of aggregate. You move further east from California to Colorado and a good acquisition of Ary there. Again, a complementary position to our Western slope, Colorado position kind of a natural extension, again, an integrated business, which they tend to be ag, asphalt and readymixed, so a solid business in the U.S.
Jim Mintern: Kathryn, I think just post actually Q2, we did a nice deal out in Eastern Europe in the whole water infrastructure business, where we acquired the market-leading provider of water infrastructure solutions in Romania. And that’s really beginning to build out our water infrastructure business that we have in the U.S. and build – starting to build that out across Europe in our downstream solutions business.
Operator: Our next question comes from the line of Michael Dudas from Vertical Research Partners.
Michael Dudas: Can you hear me?
Albert Manifold: Yes, Michael, we can hear you.
Michael Dudas: Maybe, Randy, maybe you could share a little more detail on upgrading your synergy target with your Texas acquisition and maybe how the historic weather impacted those operations, how you see it as we move into the second half of the year?
Randy Lake: Yes. I appreciate the question. As I mentioned just a moment ago, we're certainly not immune to the weather. But if you just take a step back, Texas, we're the largest building materials solutions provider in Texas. So a very integrated business across all key market segments, so infra, nonres and res, and specifically in and around RMI. I think that certainly helps, and it's kind of a microcosm of the overall strategy of CRH, kind of the diversity of that footprint, the breadth of the products, the engagement with key customers. And so I think that, even in a very tough weather environment, produced solid results. And it's really a furtherance of our overall strategy. That -- the plant, specifically, Hunter in San Antonio fit very nicely into our network. And so what we've -- are seeing is just kind of a furtherance of the opportunity from a network standpoint, kind of logistics, the opportunity for internal consumption in our downstream business and other things in and around operational performance that you would expect, right? We're a global leader in terms of cement operations and so bringing the technical expertise into that operation, comparing it to our other plants is naturally going to drive additional opportunity. And so we're happy to uncover another $5 million, bringing that total to $65 million over 3 years in terms of synergy opportunity. But I'd say it's not unusual. I mean, you look back in the acquisition of Ash Grove back in 2018, and we've been fortunate enough to be able to drive a doubling of the EBITDA of that business in 5 years. And so it's very much the same model being executed here.
Albert Manifold: I think, Michael, again, as Randy says, obviously, the weather was very challenging in Texas. But if you take a step back and the rest of our industry has been significantly impacted by bad weather in the second quarter. But for us, the continued delivery really attests to the strength of the solutions model that we have here almost through the cycle, we continue to deliver. That’s the differentiator here with regard to CRH. Be it Texas and Florida across the southeast or indeed over in Europe as well, where the world has been very tough in Western Europe as well, we continue to deliver.
Operator: Your next question comes from the line of Ross Harvey from Davy.
Ross Harvey: I'd like to focus on costs, if we can. Can you discuss maybe the energy and the general input cost backdrop?
Jim Mintern: Jim here. I’ll take that one. Yes, listen, Ross, we continue very much to operate in an inflationary environment across all the business. And when we look certainly at H1. From an energy perspective, first, maybe we did have some energy tailwinds in H1, but they’ve been moderating as we went through H1 and further moderated into H2. When we look out over the full year, I think, our energy costs are going to be modestly lower on a per unit cost basis. Across the rest of the cost mix, really continued inflation, mainly in the areas of labor, raw materials, subcontractors and indeed repair and maintenance costs. And I think across the full year, we’re kind of expecting a mid-single-digit percentage increase in cost categories across those particular categories. And what it does is really highlights the importance of getting that early and that kind of continued price momentum. And when you factor in the combination of the price and the cost, we’re happy to be targeting our 11th consecutive year of margin expansion across the full business.
Operator: Your next question comes from the line of Gregor Kuglitsch from UBS.
Gregor Kuglitsch: So a couple of questions. The first one, if you could just give us a bit of an update where we are on the index inclusion situation given the relisting into the U.S., please? And then secondly, I mean, obviously, I think, you've said it now numerous times you're sort of -- if the business model how it's been set up, obviously delivered particularly this quarter, and we can really see it in AMAT. So my question to you is, where are we on this journey? If you could just give us sort of how much is ahead of us, how much is already realized in terms of that integrated approach and sort of the potential for margins to expand further?
Jim Mintern: Gregor, Jim here. I'll take maybe the first 1 on the indexation inclusion. Yes, we've made really good progress since the relisting last September, Gregor, and now over 80% of our daily volumes are trading on the NYSE. And at this stage, the majority of our shareholders are actually U.S.-based shareholders. As you know, we've kind of -- since in May, we were reclassified into the MSCI USA. And also in June, we were added to the Russell 1000 and the S&P TMI. The important remaining indices at this stage, first is our S&P 500 and the CRSP, as you know, ultimately, the inclusion is at the discretion of the index providers. We're confident that we meet all the eligibility criteria, and we'll certainly be seeking inclusion as soon as possible now.
Albert Manifold: Thanks, Jim. And Gregor, Look, you’re right. I mean, again, we outperformed the industry. We’ve done so for a decade now at this stage, but you can look at the stats that we produced or how much anybody else produced. We don’t just sell base materials, which we used to do 20 years ago. We convert those base materials into value-added products, which are technically capable, and we provide services and knowledge and design skills in around those that help make the construction process simpler, quicker, cheaper and faster for our customers. We have spent decades building this strategy, and it takes decades to put together. It has only just started. I’m sitting here in New York City this morning, so I’d say, and U.S. products, we are really just starting the second inning. It’s only just started. The best years are ahead of us with regard to this because we can see we’re tackling the trends that are out there. There’s less labor out there to do new construction. People want things done quicker. They need it to be done more resilient. It has to be done in a safe way, and in particular for big heavy infrastructure projects, which is our wheelhouse. This is absolutely the appropriate place for us to be in. And the best years are ahead of us for the next decade.
Operator: Your next question comes from the line of Brent Thielman from D.A. Davidson.
Brent Thielman: I just had a question just in regards to M&A acquisitions, divestitures, you've been very active there. How are you thinking about the portfolio as you move into the second half of the year and into 2025?
Albert Manifold: Thanks, Brent. I'll take that one. If you look back over the history of CRH over the last decade, we really have accelerated our portfolio management. And it's been a key part of our success over the last 10 years. That process of the allocation and reallocation of capital across our portfolio has been a key driver of the creation of shareholder value over the last decade. Now I think it's important to be aware of how we think about our portfolio going forward, not just for 2024, but '25 and beyond. Now obviously, we focus on the businesses where we win, but not just where we win, but more importantly, it's how we win and why we win. And in particular, not just today, but tomorrow because that's -- we're shaping our business for the future. Now look, fine words, but the actions stand over us. If I look at the business we had in 2013, 50% of the business that we owned in 2013, we've sold. I don't know any other business that has done that. And we've done that because we actively repositioned our businesses. So we sold $13 billion worth of -- dollars' worth of business. And we bought $24 billion worth of businesses over the last 10 years. It is -- for sure, that is going to continue for the next decade. And the reason why we focus on our portfolio so much as much as we do with being an operator is because our markets, our world is changing. As I said earlier, there's not enough labor out there to build at the pace that the world needs to build in. Construction is too costly. It's too slow. It's too dirty. And quite frankly, it's too inefficient. So we are constantly adapting our portfolio and our structures to our solution strategy to address these challenges and to capitalize on the opportunities you see for CRH. And you see the results of that today in the first half results. Integrated solutions helps us build quicker, cheaper, faster, safer and in a more resilient way, preparing for the world of tomorrow. So we've always shown ourselves to be very agile in CRH and nothing is off the table in terms of how we look at our business and our portfolio. 12 years ago, CRH was listed primarily in Dublin. We moved our listing to London, and last September, we moved our listing to New York. All of that was a focus on accessing deeper pools of capital and telling our story to a wider population. A decade ago, 10 years ago, we were 7 divisions across CRH. We brought that down to 3 divisions. 10 years ago, our EBITDA was $1.5 billion. This year, we're going to be touching $7 billion. 10 years ago, the market cap of our business was $15 billion, and this year, we're around $55 billion. We achieved all of these things because we were agile. We aspire to being ahead of business, and we adapted our businesses, our business focus, our business model, our portfolio and our structures to drive shareholder value. It's part of our DNA in CRH. We're very restless. We continue to push on. We adapt, we change, we never stop but we never lose focus on our North Star, which is the maximization of shareholder value. And as we think about our portfolio, as you think about our portfolio, that's what you should focus on.
Brent Thielman: Very good. One more, if I could. I suspect your Americas Building Solutions group may have the most to leverage to what sort of prevailing interest rates do here in the next several months. If you could just affirm what's anticipated for that business group in the second half in light of some probability we could see an interest rate cut. And I guess, just your overall view on how critical that is to sort of the future performance or a recovery and growth for that group on an organic basis?
Albert Manifold: To give a comment, I'm just going to clarify the answer because the line just broke a bit very slightly, I think you were asking, broadly speaking, what was the outlook for our Americas Buildings Solutions business in the second half of the year, what the drivers might be? So I'll just ask that question on your behalf. I think I got it right, Randy.
Randy Lake: If you think about that business, there’s 2 major components. It’s the critical utility infrastructure business that addresses, I’d say, ongoing trends of need in and around water, energy and telecoms. And that’s very much supported by federal and state investments. So the balance of the year, that’s probably unaffected by the movement in interest rates, although if you’d see an interest rate move downward, certainly more new res would come underway and products such as those would be used in that kind of capacity. So that could be a positive. But the second business is really around our outdoor living business, and that’s focused primarily on the RMI segment. So it’s that backyard. So it’s the engagement through our channel management with our retail customers and then our professional business as well. And we’ve been very deliberate about how we’ve organized and structured that business and created solutions for those critical customers. So it’s the ability for us from a network standpoint and logistical standpoint to serve demanding customers in that space in the outdoor living area. It’s the idea of bringing in a collection of products to service those retail customers and professional distributors of our products. And that provides a little bit of risk off because of the type of products that are served there. Certainly, what we’ve seen in that space is that’s been much more resilient. So it’s not as susceptible to interest rate movements. I guess you could assume new-build would certainly be a positive in that space. But the way we look at it today, I think, we said in our opening remarks that we don’t see in terms of underlying activity much movement in the res space as we finish out ‘24.
Operator: Our last question comes from the line of Keith Hughes from Truist.
Keith Hughes: Question is on the Road Solutions business within Americas Materials had solid growth in the quarter, I assume, weather played a role there. What's your outlook for growth in that business in the second half of the year, assuming weather is more normalized?
Randy Lake: That business, I think, I mentioned at the beginning is firmly supported by the investment of the IIJA and the state initiatives. And again, there's -- IIJA is a 5-year bill. I think we said last year that we thought it was probably going to take 5 to 7 years for actually those funds to make its way completely into the market, and we stand by that. So we're seeing certainly increased bidding activity. Our backlogs would reflect higher revenues and better margins. And I think it's our hope certainly that the weather would improve, but it's the diversity of what we offer in that space through that Road Solutions business, both on kind of typical repair and maintenance as well as larger, more complex capacity expanding products. So we see that continuing to deliver. And when we think about the Road Solutions, I often think back to what that business was 10 years ago where we sold some rock and we sold some asphalt. That combination, that solutions mindset that we bring to the equation for those DOT customers really allows us to leverage our competitive advantage. And actually, at the end of the day, provides them with better products, better performance and gives us kind of a unique offering versus that of the broader market.
Albert Manifold: Okay. Listen, ladies and gentlemen, that’s all we have time for today. I want to thank you for your attention. And as always, if you have any follow-up questions, please feel free to contact our Investor Relations team. We look forward to talking to you again in November when we report our results for the third quarter of 2024. Thank you, and have a good day.
Operator: Thank you. Your conference call has now ended. You may now disconnect.